Operator: Ladies and gentlemen, thank you for standing by and welcome to the Richardson Electronics Fourth Quarter Fiscal Year 2020 Earnings Conference Call. At this time, all participants lines are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Ed Richardson, CEO. Please go ahead, sir.
Edward Richardson: Good morning and welcome to Richardson Electronics conference call for the fourth quarter fiscal year 2020. Joining me today are Robert Ben, Chief Financial Officer; Wendy Diddell, Chief Operating Officer and General Manager for Richardson Healthcare; Greg Peloquin, General Manager of our Power & Microwave Technologies Group; Jens Ruppert, General Manager of Canvys. We're all calling in from remote locations. As a reminder, this call is being recorded and will be available for audio playback. I would also like to remind you that we'll be making forward-looking statements and they're based on current expectations and involve risks and uncertainties more so than ever today. Therefore, our actual results could be materially different. Please refer to our press release and SEC filings for an explanation of our risk factors. The fourth quarter was unprecedented and challenging quarter. Never in the company's history have we seen the world change so dramatically nearly overnight. In the third quarter, the coronavirus negatively affected our business, primarily in Asia. The virus quickly spread throughout Europe and the Americas leaving its mark on all of our businesses in the fourth quarter. Our customers and employees quickly changed the way they work. And as an essential business, we continue to operate. This helped prevent the landslide in our revenues, such as those seen in other companies and industries. While COVID-19 negatively impacted our overall results, the Richardson team demonstrated superior support to our customers and suppliers. We're pleased to see sales growth in Canvys North America, and in the semiconductor wafer fab equipment market. Given the ever changing situation in the global economy, it's difficult to predict what the new normal will bring. I'm convinced our business will be stronger with the team we have and with the ongoing investments we're making in our growth initiatives. I'll now turn the call over to Bob Ben who provide a detailed recap of our fourth quarter and full year financials. Then Greg, Wendy, and Jens will discuss individual business unit performance, including more details regarding the impact of the coronavirus.
Robert Ben: Thank you, Ed and good morning. I will review our financial results for our fourth quarter in fiscal year 2020, followed by a review of our cash position. Net sales for the fourth quarter fiscal 2020 decreased 11.4% to $37.4 million compared to net sales of $42.2 million in the prior year's fourth quarter, primarily due to COVID-19 and its impact on demand. Although PMT net sales decreased $2.7 million or 8.6%, sales of semiconductor wafer fab equipment specialty products increased from last year's fourth quarter. Canvys sales decreased by $0.8 million or 10.2%. Due to lower sales to medical OEMs and its European market, partially offset by higher North American sales. Richardson Healthcare sales decreased $1.3 million or 47.2% due to hospital closures, restrictions on non-emergency procedures, and many people postponing care during shelter-in-place orders to help stop spread of the virus. Gross margin for the quarter improved to 30.4% of net sales compared to 29.7% of net sales in last year's fourth quarter. This was primarily due to a favorable product mix and improved manufacturing performance in PMT. Operating expenses were $12.7 million for the fourth quarter fiscal 2020 compared to $12.5 million in the fourth quarter fiscal 2019. The increase in operating expenses resulted from higher salaries and severance expenses, partially offset by lower travel and IT expenses. As a result, the company reported an operating loss of $1.3 million for the fourth quarter fiscal 2020 as compared to an operating loss of $6.4 million in the fourth quarter of last year, which included a non-cash goodwill impairment of $6.3 million. Other income for the fourth quarter fiscal 2020, including interest income and foreign exchange was $0.2 million compared to other income of $0.3 million in the fourth quarter fiscal 2019. The income tax provision of $0.2 million for the quarter reflected a provision for foreign income taxes, which was lower than in the prior year's fourth quarter. And no U.S. tax benefits through the valuation allowance recorded against the net operating loss. Although there is no tax benefits shown on our financial statements from U.S. net operating losses, we can use our net operating losses to offset any cash tax liability reported in our U.S. federal income tax return. The amount of federal NOLs is $17.6 million. Overall, we had a net loss of $1.3 million for the fourth quarter of fiscal 2020 as compared to a net loss of $6.4 million in the fourth quarter of fiscal 2019. Turning to a review of the results for fiscal year 2020, net sales for fiscal year 2020 were $155.9 million, a decrease of 6.5% from fiscal year 2019 net sales of $166.7 million. Net sales decreased by $10.4 million or 8.1% for PMT, but increased by $0.9 million, or 3.4% for Canvys. Sales for Richardson healthcare decreased by $1.3 million or 13.2% for the year due to lower sales in the fourth quarter fiscal 2020, resulting from the impact of the coronavirus. Gross margin increased to 31.9% in fiscal 2020 from 31.0% in fiscal 2019, primarily reflecting a favorable product mix and improved manufacturing efficiencies for PMT. Operating expenses were $51.3 million for fiscal 2020, which represented a decrease of $0.9 million from the last fiscal year. The decrease was due to lower travel, severance, legal, and it expenses, partially offset by higher employee compensation expenses. Throughout the pandemic, the company decided to support its employees through regular merit increases and incentive plans and by avoiding layoffs or furloughs. Operating loss for fiscal year 2020 was $1.7 million as compared to an operating loss of $6.8 million inclusive of the non-cash goodwill impairment in fiscal 2019. Nearly all the loss for fiscal 2020 came during our fourth quarter. Other income for fiscal 2020, including interest and foreign exchange was $0.4 million versus $0.5 million in fiscal 2019. The income tax provision of $0.6 million for fiscal 2020 primarily reflected a provision for foreign income taxes and no U.S. tax benefit. Overall, we have a net loss of $1.8 million for fiscal year 2020 compared to a net loss of $7.3 million for fiscal year 2019. We continue to closely manage our cash position. Cash and investments at the end of fiscal 2020 were $46.5 million compared to $43.9 million at the end of the third quarter of fiscal 2020 and $50.0 million at the end of fiscal 2019. Capital expenditures were $0.5 million in the fourth quarter of fiscal 2020 compared to $0.7 million in the fourth quarter of fiscal year 2019. Approximately $0.2 million related to our healthcare business, $0.2 million was for our manufacturing business, and $0.1 million was for IT system. For fiscal 2020, capital expenditures totaled $1.8 million as compared to $3.9 million in fiscal 2019. Free cash flow was $3.8 million for the fourth quarter fiscal 2020 and $0.147 million for fiscal year 2020. Both were significant improvement from the respective prior year period. We paid $0.8 million in dividends in the fourth quarter and a total of $3.1 million in fiscal 2020. In addition, based on our current financial position, our Board of Directors declared a quarterly dividend of $0.06 per common share, which will be paid in the first quarter of fiscal 2021. To end on a positive note, during the quarter, we repatriated a total of $1.0 million from foreign locations. Total cash repatriated for fiscal 2020 was $8.5 million. U.S. cash was $30.3 million at the end of fiscal 2020. Now, I will turn the call over to Greg who will discuss the results for our Power & Microwave Technologies Group.
Greg Peloquin: Thank you, Bob and good morning everyone. PMT sales in the fourth quarter of fiscal year 2020 were $29.3 million versus $32.1 million in Q4 FY 2019. Our gross margin improved in the quarter to 33.2% versus 30.1% in the prior year, as we improved our manufacturing and efficiencies. Issues related to COVID-19, including temporary business closures and shelter-in-place orders primarily caused the Q4 sales decline when compared to prior year. One positive trend was our bookings. Book-to-bill was 1.20 in the fourth quarter, strong EDG bookings tied to our wafer fab customers, as well as our new technology partners and PMG, our Power Microwave Group drove this growth. Our bookings growth for EDG business was based on continued engineering and logistics support for the wafer fab and global infrastructure markets, benefiting both our OEM and MRO customers. The growth in PMG bookings is due to our new technology partners, our demand creation model, our numerous design wins, high growth markets, and our unique global business model. With increasing backlog over $6.6 million in the quarter, we will continue to improve our go-to-market strategy by investing in key business development resources to greatly improve and increase our customer contact in a more efficient manner. These actions allow us to generate more opportunities in growing the markets using our existing global infrastructure and headcount. Our new technology, bookings growth is supported by key partners, such as Qorvo, MACOM, Anokiwave, UnitedSiC, Alosetron, and Fuji Semiconductor. T2 manufacturers in the industries such as CPI, Thales, NJRC, and PHOTONIS, as well as our own manufacturing capabilities support our global legacy business. COVID-19 did cause a slowdown in Q4. The reason I use the word slowdown is the demand for our product did not go away. In fact, we're excited about the booking trends in the quarter during this global pandemic. In reviewing the business for the four months, it is still my opinion of the strong demand for our products before the pandemic did not go away. The demand for power management products did not go away, the thousands of two sockets, we support on a global basis daily did not go away, and the demand for 5G infrastructure did not go away, in fact, just the opposite. Now, looking specifically at 5G, I have talked to our customers and suppliers and they have confirmed that the pandemic has caused every country, customer, and person in the world to realize they must have the ability to work from anywhere in the world. They must be able to work from home, the city, the country, their cabin, and car, and they must be able to send and receive large amounts of data from any of those locations quickly. This will expedite the implementation of 5G infrastructure. Just look at the demand increase in the number of people that will be working from home going forward. The consensus of the market is COVID-19 will affect the 2020 forecast for 5G and others markets, supply chain issues, manufacturing, and design delays resulting from the pandemic to push out rollouts, and design cycles. However, we're seeing majority of delays on the handset side and the infrastructure side where replay could show strong growth in 2020. We're seeing a double-digit increase in the adjusted 5G forecast for 2021 and 2022 over the pre-COVID-19 forecast. Especially during and coming out of this pandemic, I can't stress enough the value of Richardson Electronics to its customers and suppliers. Our unparalleled capability and global go-to-market strategy is unique to the power in RF Microwave industries. To our steadfast focus on customers, we will survive this pandemic. The demand for our products has not gone away. Our customers and technology partners need Richardson products and support more than ever. So, with that, I will turn it over to Wendy Diddell and Richardson Healthcare.
Wendy Diddell: Thanks, Greg and good morning everyone. FY 2020 began well for the Healthcare Group. We received CE approval, allowing us to offer the ALTA750 for sale in Europe. We adjusted our pricing policy to be aggressive and flexible. We made a concerted effort to identify where Canon CT systems are located throughout the United States. The number of P3 contracts doubled in the year as did the number of customers buying the ALTA750. Nearly 20% of our new customers are from outside of the Americas. For the first three quarters of FY 2020 CT Tube sales were trending upwards, so we know we were on the right track. Then the pandemic hit, causing hospitals to close and suspension of non-clinical procedures. Initially, healthcare organizations reported that CT scans would help diagnose COVID-19. Unfortunately, any "real increase" was more than offset by the significant decrease in patients without the virus. People, in general, have been avoiding hospitals out of fear of catching COVID. We felt the impact on our call volume early in the fourth quarter in both the United States and Europe. Many of our third-party service customers reported up to a 75% drop in call volume. Although hospitals are now reopening, most imaging and radiology personnel are working fewer hours and they are not responding to sales related calls. We continue to reach out via phones, emails, and social media to advise all of our healthcare customers that we are available 24/7 to provide technical support and to ship tubes and parts on demand. We know it is critical to help the hospital stay up and running and to offer them cost-effective alternatives. The pandemic also affected Latin America, which was already experiencing significant economic issues. The virus further depressed our system sales in the quarter. As hospitals are closed and suffering major financial lapse, they're not buying used CT scanners, they are also not buying new scanners. This is affecting availability of used systems on a global basis that will result in lower revenue from the sale of refurbished systems in FY 2021. The good news is this should help us with CT Tube and parts demand in two ways. First, there will be fewer systems on the market for other companies to harvest for parts in tube. Second, hospitals will keep their existing CT scanners longer, increasing demand for replacement parts, tubes, and in service. Because of these market conditions, we made the decision to put ALTA750 production on hold during the quarter and to focus the entire team on development, as well as manufacturing and process improvement. Everyone within the healthcare organization has continue to work on various projects throughout the shelter-in-place orders. These efforts put us in a good position to grow as economies and hospitals reopen. Sales in the fourth quarter were $1.4 million versus $2.7 million last year. Sales were down across all product categories. On a full year basis, sales were $8.5 million versus $9.8 million prior year. CT Tube revenues were up 17.2% and FY 2020 versus FY 2019. Due to significantly lower sales resulting from the pandemic, as well as manufacturing under absorption, gross margin dropped to a negative 28.6% in the quarter. In the fourth quarter of last year, gross margin was 15.3%. On a full year basis, gross margin was flat 24.4% versus 24.5% in FY 2019. Healthcare spent considerably less on capital expenditures in FY 2020. Inventory was also down year-over-year. In spite of the pandemic and its impact on our suppliers, we still anticipate launching the ALTA750G early in the calendar year 2021. We are also making good progress on our next two tubes. We plan to launch those solutions later in calendar year 2021. Finally, our efforts to secure registrations for additional countries continue. We recently recertified under ISO 13485, indicating our quality management system meets U.S. medical device manufacturing requirements. We also initiated the Medical Device Single Audit Program, or MDSAP. MDSAP is a program that allows a single audit that satisfies the requirements for multiple countries including Australia, Brazil, Canada, and Japan. MDSAP aligns closely with the new medical device regulations for Europe that go into effect next May. Both MDSAP and Europe's new regulations require even tighter control of the quality management process. At this point, I will turn the call over to Jens Ruppert to discuss fourth quarter results for Canvys.
Jens Ruppert: Thanks Wendy and good morning everyone. Canvys, which includes the engineering, manufacture and sale of custom displays to original equipment manufacturers in industrial and medical markets, delivered solid performance with sales of $6.6 million during the fourth quarter of fiscal 2020, a decrease of 10.2% over the same period last year. The revenue decrease for the quarter was related to decreased customer demand in Europe due to the outbreak of the coronavirus and the resulting impact on the OEMs. Many of our European customers production also decrease in demand. Sales in North America are actually stronger than prior year's fourth quarter, thanks in part to higher demand for patient monitors that are used in intensive care units and HMIs used for mobile radiography. On the year-to-date basis, global sales grew 3.4% in fiscal year 2020 despite the COVID-19 pandemic and the serious business impact compared to a very strong fiscal year 2019. Gross margin as a percentage of net sales was 31.0% during the fourth quarter of fiscal 2020, down from 32.1% during the fourth quarter fiscal 2019. The decreased gross margin, while still very strong for display business, was related to an unfavorable product mix and foreign currency effects. On the year-to-date basis, our fiscal year 2020 gross margin as a percentage of sales decreased slightly to 32.2% from 32.5% fiscal year 2019. Our backlog continues to be strong and increased on a year-to-year basis by 30%. The healthy backlog positioned along with a number of projects that are currently in the engineering stage position us well for continued growth before considering any long-term impact of COVID-19. By visiting customers and trade shows continues to be a problem under COVID-19, our sales reports are focused on online marketing and cold calling. During the quarter, we received several new orders from both existing and first-time medical OEM customers. Applications, where our displays are used are numerous. Some of these include digital radiography for mobile chest X-ray systems, patient monitoring where monitors are installed at the patient's bed or remote locations such as the central nurse station; medical device control for fully integrated operating theatres, and dental treatment centers where patients can review radiographic images or live video from an intraoral camera or other video feed; such as educational videos or promotions. In the non-medical space, we received orders for various display products. Applications include displays for ROVs, remotely operated vehicles, exploring subsea oil fields. As I mentioned earlier, COVID-19 hit our business in Europe hard in Q4 fiscal year 2020. It is nearly impossible to predict when our business will return to normal. But we are optimistic that our business in Europe will bounce back in the second half of fiscal year 2021. North America appears to be behind Europe by about three months. We are now seeing the COVID-19 impact in our North American market as well. Fortunately, we haven't lost any programs due to COVID-19. Some projects materialize later than expected as the majority of our customers engineers are still working from home and product validations and approvals are delayed. We are seeing more and more customers placing smaller orders or smaller commitments. Our customers with existing orders are pushing out scheduled delivery dates as ongoing travel restrictions ground their sales forces and hospitals are under pressure to reduce or postpone capital expenditures. We also continue dealing with extended lead-times for selected components from our Asian suppliers. We are staying optimistic knowing that the economy will bounce back eventually and we will be ready to deliver products that will be needed to urgently. I will now turn the call back over to Ed.
Edward Richardson: Thanks Jens for a good quarter in spite of the current pandemic. I know it's been a difficult on all three of our business unit managers to maintain sales momentum and keep employee morale up. You've all done an excellent job. Our teams are used to working face-to-face with co-workers, customers and suppliers. We're taking a very conservative approach in order to keep everyone as safe and healthy as possible. We continue to limit the number of employees working from a Richardson facility, the majority our employees in our plants serve in product development, manufacturing, and support or supply chain. We've also restricted travel and face-to-face meetings. With a recent increase in COVID cases throughout many states, we don't actually see any change to this arrangement in the near future. We've been able to serve our customers and suppliers through telecommuting and with a limited staff into the facilities. We'll continue to do this so until the virus is under control. Our employees are our most important asset and their safety must come first. We're not happy about losing money in the quarter. Both Greg and Wendy pointed out areas for growth supported by our investments, and Jens explained that the decrease in Canvys revenue was temporary. For this reason, we elected not to lay off employees, but instead to focus on key initiatives that will derive revenue long-term. Given that our sales effort has continued without interruption, we're confident that over time we will again see sales growth. We do not know when this will happen. This is contingent on economies getting back to work and demand for equipment and services increasing. Now, more than ever, we'll continue to stay focused on cash management. Our SG&A was lower in FY 2020 than the prior year and we spent conservatively less on capital expenditures. Our cash position remains strong, the finance team did a good job repatriating cash, and our bad debt ratio remains low. We'll continue to spend conservatively while investing in our growth initiatives and we'll adjust resources based on ongoing changes in demand. At this point, we'll be happy to answer a few questions.
Operator: And there are no questions in the queue. I'd like to turn the call back to Ed for any closing remarks.
Edward Richardson: Thanks Catherine. Well, thank you for joining us and your ongoing interest in Richardson Electronics. We wish you continued good health. We look forward to discussing our fiscal 2021 first quarter with you in October. With that, Catherine, we'll end the call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.